Holly Schoenfeldt: Good afternoon and thank you for joining us today for our webcast announcing U.S. Global Investors' results for the Third Quarter of Fiscal Year 2018. I'm Holly Schoenfeldt. If you have any question during the webcast, you can enter them in the questions area of the control panel sidebar which is normally to the right of your screen. Also, you may download a PDF of today's slides by clicking on the red handout button. The presenters for today's program are Frank Holmes, U.S. Global Investors' CEO and Chief Investment Officer; Susan McGee, President, General Counsel, and Chief Compliance Officer; and Lisa Callicotte, Chief Financial Officer. During this webcast, we may make forward-looking statements about our relative business outlook. Any forward-looking statement and all other statements made during this webcast that don't pertain to historical facts are subject to risks and uncertainties that may materially affect actual results. Please refer to our press release and corresponding Form 10-Q filing for more detail on factors that could cause actual results to differ materially from any described today in forward-looking statement. Any such statements are made as of today, and U.S. Global Investors accepts no obligation to update them in the future. A quick overview about U.S. Global Investors, U.S. Global is an innovative investment manager with vast experience and global market and specialized sector, it was founded as an investment club, the Company became a registered investment advisor in 1968 and has had a longstanding history of global investing and launching first of their kind investment products, including the first-no load gold fund, U.S. Global is well known for expertise in gold and precious metals, natural resources and emerging market. Now let's go to Frank Holmes, CEO and CIO, for an overview of the period. Frank?
Frank Holmes: Well I'll talk about the strengths, and I think that we strive to be a go-to-stock for exposure emerging markets, resources and now digital currencies, mining of digital currencies which has had a significant impact on our balance sheet and income statement and created for normal volatility, and I'll share the story little bit more as we go through the presentation. We remain debt free, we have a strong balance sheet and we have a very much reflexive cost structure. We maintained the monthly dividend and a return on equity discipline which has been a big challenge with Mutual Fund industry continue to shrink as a whole and money going into predominantly ETFs and predominately big cap ETFs and where fees are the number one driver not so much the performance, but fees. So we're in this of interesting place in the capital markets, but where we've shown the growth is in our new products, Lisa will highlight and talk a little bit more in detail. But I wanted to thank our top shareholders, the Royce funds have maintained with us that they are the largest shareholder then we had the Financial Investment Group, Management Group at Michigan. We have BlackRock Institutional Trust Company with the Vanguard, one of their indexes, and then we have Arbiter Partners Capital Management which showing up as a new investor. We want to thank them all and all the other shareholders that have been on this ride with us because in the past six months since we made the investment into HIVE Blockchain Technology, our stock and volume has gone up substantially, and so as the volatility of our stock price and I'll relate that more in detail as I talk about the Cryptocurrency world. Growth and dividends, we've been consistent 10 years. Currently yield is at prices 276 is a little over 1% and the monthly dividend is very, very tiny and modest, but it creates a discipline for us as a company. Next is the share repurchase program is in motion. But the share repurchase program is in motion. The board has approved the repurchase up to $2.75 million of its outstanding common stock in the open markets through calendar year 2018. For the three months ended March 31, the Company repurchased 2,000 Class A shares using cash of $8,000. We use a volatility factor we had mentioned before. We have an algorithm that we buy in the down days and only when it has these big sell offs that we automatically come in and buy. And this buying maybe suspended any time, but right now we continue to use our algorithm to buy on the big down days. The balance sheet on the next visual, Slide number 9, it still remains best in HIVE, as you can see exploded the overall assets. They've come off and the volatility in the first quarter we took place just recently. It had a big impact on our financials. But to me, it's just more of volatility. We're not forced to sell. These currencies have got a big rebound and I'll talk a bit more about that. So Slide 10, we talk about earnings per share for the quarter and we show that Lisa Callicotte, our CFO will talk about minus $0.07 and predominantly what HIVE has done to do that. Certain of our investments shown in the balance sheet and the other portion are showing up in the income statement. It is something to be aware of for one-year and one-day period, what's really, really important for anyone in this space is to recognize that daily and the volatility of these various coins. The one-day - I think this is - when I take a look at the one-year and one-day period for Ethereum and Bitcoin. If you look at the S&P 500, it's a non-event on one-day for the S&P to go plus or minus 1%, and over one-year it's 20%, it's just normal DNA volatility. But I think that the 10-day standard deviation, this is looking at a - I think I split miss wording here. But the 10-day volatility for the S&P 500 is 2%. The one-day is basically 1%. Gold is also 1%. And the DNA, the volatility of bullions are same as the S&P, but Bitcoin now that's another animal. The daily volatility is 7%, so the volatility of Bitcoin is seven times S&P 500 if you are in a six times. So anyone investing in this space really has to be speculating and it's an asset class, that's emergent, it's not paying a dividend and I think it's very much emergent. It's a brand new world in that space. So I highly recommend that you recognize the difference between long-term investing and speculating. We believe that there's a long-term trend and we want to be involved with the first company to go public that was mining these coins, original coins that are Ethereum and by September HIVE will be mining Bitcoin. But on the next visual, I'll show you on Slide number 12, the quarterly average assets under management remain stable. It's disappointing that the funds can outperform an ETF. It doesn't really matter at this stage of the cycle. It's still just wants to go and trade into an ETF. And all the fear, last year, the Fiduciary Rule interpretation, anyone that had small accounts like us, and therefore you have higher fund expense ratios, gets pushed off the platforms because they worried about being sued because it's ledged out there that cheaper is best. So all those people have pledged that. I hope they're going to Walmart and they only buy their clothes at Walmart because that's the cheapest place to buy them. And that's a joke, but it's sort of - it's bizarre to watch the process that is taking place and unfolding as an active fund manager. And Slide number 13, I'm quite often when I'm on Aster going media talked about gold, the world of gold and now I'll talk about blockchain because I am the Chairman of the first public company in that space, which was predominately controlled and owned by Silicon Valley just like you see the company that's called coin base and the value of coin base has gone from $75 million three years ago to something $8 billion last week valuation. That's all private. It's all private capital. The public doesn't get a chance and HIVE was the first company where they really had the opportunity to have a chance. On Slide number 14, and talk about the world of gold. I really like to highlight to investors that since the beginning of this century, 2,000 that bullion is outperforming the S&P 500 2 to 1. That's a 200% advantage. And I've always had the thought process and recommendation that investors consider putting 10% into gold and gold stocks to rebalance once a year, and this just really shown that's been proven to do so. So you can see on Slide number 14, it's just incredible numbers and then last year, gold was up over 13% and there was also a great double-digit and people act like gold's not performing well. I think it's doing exactly - everything is closer too and year-to-date gold is performed in the S&P 500. So as an asset class, it's very special. And we launched at this time last year going into the process of launching our gold, the smart way to ETF, GOAU, GO GOLD, and its whole thought process and the factors in a regression studies that it would have perform the GDXJ, which covers mostly assets because those particular products are just indexes of names. They're not those are really have fundamental factors that drive long-term performance and the numbers on that particular GOAU product is just - far better in the GDXJ. Now what drives gold, its fear and love, and fear gets most of psychology here and 60% of the world is for gold demand is for love. That's China and India, which is 40% of the world's population that's actually known as Chindia. The next visual showing is The Love Trade shows up with religious holidays and wedding seasons and season of lights and then we have another wedding season in India and then we have a Christmas, and then we have the Chinese used year which is usually the Peking gold and that's starts the fall off. But year-to-date gold has been doing exceptionally well, and so just recently it slipped below the 50 day moving average. It's above this 200 day. Historically, gold is a poor performer in March and it did reasonably well this year and in month of May is usually another sloppy month as we go into the summer season, The Love Trade season and that's what this visual in 2017 is trying to show you. Life is all about matching expectations and with gold is a very powerful seasonal pattern and the seasonal pattern that drives a cyclical behavior is love and it is predominantly in a emerging markets from Asia over to the Middle East. So that's an important component to recognize and when we take a look at the next visual, the government policy is a binary model. It's either monetary of fiscal and monetary as interest rates and money supply in fiscal as tax and regulation or spending. It's a very simple model. We line up the G7 countries with the E7 most populated countries. And what's important here is that China and India are showing tremendous growth and their GDP per capita is rising and they're rising GDP per capita there is a great long-term wind at the back of the sale for those by - because what happened is that we noticed our Jets ETF is that the rise of the middle class in China is driven traffic. You can go anywhere in America. Go to the New York Stock Exchange, you will see there is 50% of tourists are Chinese. They all want to go to the epicenter of capitalism and take photos. And the same thing happens between San Antonio and Austin is an outlet mall and the signs used to be in Spanish and English and other Chinese. Why because America passed a 10-year tourist visa and now we have 109 million people, 10 million more than there is in America that have a high disposable income, it gets lost in China's 1.4 billion, but they're also big gold consumers and they're big travel and so I think it's important to recognize that it drives global economic activity. So GO GOLD, no matter what gauge you look at and inflation is trending up. Today these are the numbers were off slightly, but I think when you look at the 1990 factors for determining inflation. Inflation is running more like 8%, it is the 1980 factors, and inflation is running more like 10%. The next visual is to show you that the global PMI, it turned up last year. It's pulled off a bit, but remains very robust and strong and that's very important for resources and emerging market growth. So I think it remains in a healthy position. And then we can take a look at the last factor for gold, I think is supply side. We had peak oil until the factors came along. And all the sudden America became the dominant supplier of oil. There is no peak tracker for gold. There's nothing out there. The only person that can see through rock is Superman and he has problems with lead. So there's no technological breakthrough to find these deposits, but the world continues to have babies, population growth remains strong, money supply continues to grow at a much faster supply than new gold coming on stream. And so I think that this is another factor boring well and the next visual showing you declining production out, highlights gold's priority. Our gold is still a long-term very important part of anyone's portfolio in our opinion. And we like to make our opinions based on that. Managing expectations, 2023 is just really to recognize the daily volatility. The yearly volatility of these asset classes, the New York Stock Exchange Gold BUGS Index is plus or minus as you can see there, daily is 3%, but I think that Index it's a higher number than 20. The S&P 500, the rolling Index for the S&P 500. These numbers are not correct. I'm going to correct them. The Gold Index is plus or minus pushing 40%, it's 2 to 1, the S&P over any 12-month period, the DNA volatility is 20%, and bullion is 20%. I think we've overlapped that, oil pushes 40%. There's been some - in the data polling there's been something incorrect on that. So those validities are not right. Well let's hop on where the growth has been and where is the excitement been, but also the downdrafts. There are spooky and Lisa Callicotte can tell you about that when they start to correct which we experienced this year. And the reviews - it's interesting that the big drive for has been regulations and when the first announcement came out in January, the SEC meeting with the Senate and gold - the Bitcoin and everything sold off, Ethereum and all the Cryptocurrency is on regulations. Then there was going to be meeting with Congress and the SEC and the CME et cetera and this sold off again and then it rally. And then we had another sell off going into tax season and we've had a bounce. Now during all these sell off what really shocked me was that the coin base still grew. Talking to people in Canada use Einstein, they also had growth. People opening account every day and buying an averaging down, and what to me is most interesting is if they're small purchases and they're not merchant, they're all cash, and when the financial institutions came out and said we're not going to allow credit cards to be able to buy them. In fact that was a win because a lot of the fraud I was told that was taking place at these places like Einstein or coin base were the everyday person. It wasn't hackers, it was people that tried to play games with bouncing checks and Visa Card scandals et cetera, they were trying to buy Bitcoin with our credit card and then not paying and or to getting it and taking the money out and then bouncing the credit card. So I think of anything it only help the industry is what professional told me on the exchanges. But what's really important here in this visual is that USAA was brilliant in their venture capital along with the New York Stock Exchange when we are launching OAU, the New York Stock Exchange currently invested in 2015, and coin base which is the biggest platform to open account and you can now today have that show up and your Bitcoin investments or Ethereum in your overall accounted USAA or Fidelity. They don't advertise that, but it's an interesting fact that these two major financial institutions have embraced. Now we see Goldman Sachs going in the space to trade more. We are seeing in the next visual that launches a Bitcoin trading operation because it so profitable. The spreads are wide, when you talk to the traders there is ample money, there is arbitrage going around and there will be new regulations and in fact I looked forward to those regulations because these ICOs a lot of them are basically ways of funding and they try to announce that there currency when they are not, there really is another source of capital rising and they make misrepresentations and they don't to full [indiscernible] disclosure. So I think the regulatory will come in to clean up those. And then we see NASDAQ would considered becoming the crypto exchange because it so profitable and so their pushing in that direction. The biggest conference is next week is called Consensus, and NASDAQ is doing a big special with Consensus on this whole idea of trading, Bitcoin is perfected is the trading the value. So when we look at the web in the Internet, it showed you that you could move information like an email, and that could share information costly, very effectively and very inexpensively and fast. Now we are happy with Bitcoin, it shows that you can trade value not just information, you can have economic transactions and is going to be the big revolution for all these trading things. The next visual is coin base, I mentioned earlier it just had a rerecord rating of $8 billion, it's remarkable growth and kudos to USAA and the New York Stock exchange have made that investment they must be up tenfold in their investment in three years. Next visual, Bitcoin came as soon after the tax date, government policy we always read about the U.S. Global is a precursor to change. We showed you earlier, the visual of monetary versus fiscal policy because the government policies do have an impact and capital flows and money flows, and so it's important to recognize. I think we could have one more test here when the G20 are supposed to come out in mid-July with a pronouncement on - so their thoughts of some type of regulations for Cryptocurrency in the world, but we'll see what happens with that. I do think that the most significant country has been the UK, the British and the Central Bank of the UK has written many whitepapers about how it's going to be used. We're seeing governments like Monaco, Bermuda, Barbados, all these islands are small places - are looking themselves of being Blockchain and Cryptocurrency, savvy platforms and setting up breaks and rules of conducting business in those domains. And the next one is more smart money is flowing into the Cryptocurrency Blockchain technology. You may hear of a one negative news, Warren Buffett doesn't like it. I was at a conference - it was very small intimate group with Alan Greenspan and he doesn't trust it. But you know why I might miss my thoughts are, is that they - and I relate to it because I didn't trust it, I Uber it first, and I didn't trust and I've never trusted tinder, but my godson loves it and then how can you just trust someone that's a real profile, there's the picture that maybe someone else you are going to see. And they said they went to the school et cetera and they like to play tennis. I forget it, I don't believe it. But millennials do. They do. And they trust Airbnb and I've used Airbnb. But I like Concierge, I like to have someone to front desk to change things and get things for me. And we have a problem, but Airbnb is the largest hotel in the world and they own no real estate. Uber is the largest cab company in the world, well knows all taxes. So there's something else is happening and in the digital world Bitcoin has shown us another asset class and people trust it and the more people that become to trust that it will become an asset class. And right now you have 12,000 nodes around the world, mining, competing for mining or that's validating our transaction every 10 minutes. So there's something that's big there that's happening and so I see that - we're seeing more trading coming into it and being involved with it. If you go to TED Talks, it's really remarkable to see how many articles are on Blockchain coverage by thought leaders, but there's nothing on gold, there's nothing on emerging market investing, but there's lots on Bitcoin and Cryptocurrency. And I also highly recommend that you see Michael Strings interview, because it's the first class. In September of last year, for the new shareholders, we made a strategic investment in HIVE rather than launching or trying to launch ETF. We were right in zigzagging and saying it's not going to happen because the regulators are not going to allow a hacker to get a coin that's going to show up an ETF and then we turn around to put our money into HIVE Blockchain became the first institutional investor like I would go on the Board of a trust of a fund, here I went on the Board as a Chairman and launched the first industrial scaled mining company. We don't have any of those hacker problems because we mined the virgin coin. Every time we validate a transaction, we get paid with a brand new coin and that coin has a premium value. So we showed up at a press release that in the first quarter HIVE generated a 36% return on capital and is doing everything so far at the buildup. The currency is volatile, but here's another example that we made the announcement, we first went public that we would be consuming about 2.5 megawatts of energy. And then in previous announcement, we said we would get up to 44, we're now at 24, so we're basically up tenfold usage of energy. We've gone from $1 million a month in revenue to $1 million a week. And based on where the coin prices are today, Ethereum, as you see in this visual Bitcoin 10,000, Ethereum at 800 and those valuations high by run rate by September pushing close to $10 million in revenue and having cash flow, potential cash flow, and free cash flow of $5 million. So it's a very profitable business. So we're doing everything we said we would do and we couldn't ask for better strategic partners than Genesis Mining. I mean it's truly just a first class organization. The next visual is highlighting, on May 1 we made the announcement that Sweden Phase 3 increase HIVEs energy consumption, dedicate the Cryptocurrency mining by 6.8 megawatts to 24.2 megawatts, which in a quarter is basically a 39%. And the data center facility in Island, we're recently over there. And you can see in the next visual. There I am in the site and it's a very loud place and it sounds like you're just under a 747 get ready to take off or you've got 10 million bees hopping above you - covering top of you. So HIVE is down stock in flows. It continues to be a great growth stock, the institutions we have, predominately is coming about more than 10%. Another 10% of the company is bought by other institutions. We have 15 new institutions coming buy it and we remain very lean, machine and what we're doing. And so we're very thrilled as we're building a brand and we remain the biggest and most - I think most profitable company in that space. HIVE has had to look at other opportunities et cetera, but really there are just people bought some of these A9 - A6 chips I think they're going to be in crypto mining it just not going to happen. It's a very complex. You need to have cheap electricity. You need to have green energy. You need to have the technology advancements with that made by Genesis Mining and we have all those ingredients. They own about 25% of HIVE. So HIVE is going to be a very important strategic investment for U.S. Global and in particular, in Canada we relaunched the fund in that space and so I'm very excited about what was taking place with our investments in Galileo. Now I'd like to turn it over to Lisa Callicotte, our CFO.
Lisa Callicotte: Thank you, Frank. Good afternoon. Before I summarize our results of operations, I'd like to discuss the accounting treatment related to our direct and indirect investments in HIVE. USGI, through its wholly-owned subsidiaries, U.S. Global Investors Canada Limited, directly owns 10 million shares of HIVE. These shares are included in investment securities available for sale on our balance sheet. In unrealized gains and losses on available-for-sale securities are excluded from earnings, and recorded in other comprehensive income, as a separate component of shareholders' equity, until realized. USGI Canada also invest in the Galileo Partners Fund, and the Galileo Tech and Blockchain Fund. At March 31, 2018, USGI Canada owned approximately 26% of the Galileo Partners Fund and 20% of the Galileo Technology and Blockchain Fund, and the Partners Fund owned approximately 5 million shares of HIVE, while the Galileo Tech and Blockchain Fund on approximately 95,000 shares of HIVE.
Frank Holmes: And that excludes my investments, directly.
Lisa Callicotte: The investments in Galileo Funds are accounted for under the equity method of accounting and under this method, the Company's proportional share of the fund's net income and loss, which primarily consists of realized and unrealized gains and losses on investments decreased by fund expenses, is recognized in the Company's earnings. Now I'll discuss a result of operations for the quarter ending March 31, 2018. Beginning on Page 38, we recorded total operating revenues of $1.4 million for the quarter. This is a 15% decrease from the $1.7 million we reported for the same quarter last year. The decrease is primarily due to decrease in average assets under management, due to market depreciation and shareholder redemption, but were somewhat offset by an increase in ETF advisory fees as a result of increase ETF average assets. USGIF performance fees paid down the quarter also increased having a negative impact on our revenues. Our operating expenses for the quarter were $2 million. This is an increase of $147,000 or 8%. The increase is primarily due to increases in employee compensation and benefits due to increase in bonuses and increase in general and administrative expenses primarily due to increase ETF cost and travel expenses. We have an operating loss of $590,000 in the quarter versus an operating loss of $191,000 for the same quarter prior year. On Page 39, we see we have another loss of $643,000 for the quarter, compared to other income of $161,000 for the same quarter ending March 31, 2017. $927,000 of this decrease is related to our equity investment in the Galileo funds. This loss is somewhat offset by an increase in investment income of approximately $114,000. And then we have a loss in our equity method investment for the quarter due to the volatility of these investments. Our nine-month ending March 31, 2018, we have an income of $1.8 million related to these investments. Net loss attributable to USGI after taxes for the quarter is $1.1 million or a loss of $0.07 per share. Moving on to Page 40. We still had a strong balance sheet. We own our own building and have cash and marketable securities of $24.2 million that combined to make up 71% of our total assets. And as you can see, compared to June 30, 2017, our trading securities decreased $2.6 million; this was mainly due to liquidation of trading securities and purchases available-for-sale securities. Investment securities available-for-sale increased $9.6 million and this is a line item that includes our directly owned HIVE shares that are valued at $9.8 million at March 31, 2019. And the value includes unrealized gains of approximately $7.3 million and is recorded in other comprehensive income as a separate component of shareholders' equity. As you can see on Page 41, we do have long-term deferred tax liability, mainly related to our unrealized gains and investments. But we still have no long-term debt. The Company has a net working capital of $13.08 million, and a current ratio of 10.03:1. With that, I'll turn it over to Susan McGee.
Susan McGee: Thank you, Lisa. As you can see, a majority of our mutual fund assets are in emerging markets and natural resources, and we have about 30% in domestic equities and fixed income fund. And for distributions, more than three quarters of our assets are coming from retail investors and then the other quarter from institutional investors. Our sales and marketing efforts have continued to focus on our mutual funds, particularly that are concentrated on gold, natural resources and emerging markets and then we also focused on our exchange-traded funds. We're pleased that we have received Nemours awards again from Thomson Reuters Lipper of the year and we have been recognized by Morning Star. Investors can find more information about our funds on our website usfund.com. The Company and our funds also continue to receive invaluable amount of viral publicity which is gained through media interviews. Frank Holmes often shares his insights with financial outlets like CNBC Asia, Bloomberg Television, CNN TV in Canada to name a few. We continue to receive recommendations by influential financial newsletter writers and we are also able to share and syndicate our award-winning original content by third-party publishers. These newsletters have very loyal following, and they do receive millions of visitors each month. Frank Holmes our CEO Blog, Frank Talk, also continues to grow in popularity. His commentary is often featured by prominent publications including Forbes, Seeking Alpha, ValueWalk, and business insider, and these have millions of monthly visitors. We like to call Frank a globetrotter because he, along with others in our investment team, do travel around the world to share our thought leadership. We interact frequently with loyal followers on Facebook, Twitter, LinkedIn, Instagram, YouTube and Pinterest. In December, we launched a new video series that supplements our award-winning Frank Talk blog. Frank Talk Live, features Frank Holmes as he dives into market moving the rest of the week and he shares his thoughts on trending financial topics. Each clip is around is around 1 to 2 minutes, and so far 12 episode have been found. After we received positive feedback on this new series decided to and feature other members are investment team and similar short video. With witness of indication of these videos of third-party sites and we have also seen an increase in subscribers to our YouTube page in investor alert new letter. Kitco News is the biggest gold website in the world with an audience of over 10 million monthly visitors in partnership with TheStreet continues to feature the Gold Game Film show with Frank Holmes weekly gold market analysis. Since the show is beginning, 142 video episodes of the Gold Game Film have aired. All this coverage helps us leverage our brand by reaching millions of readers, viewers, and potential investors. Our website was visited over 586,000 times from March 2017 through March 2018 by investors from all over the world. U.S. Global Investors is well known for our timely and balanced market insights and thought leadership, and the company has been awarded several STAR awards by the Mutual Fund Education Alliance, and we added three more at the end of 2017, including the Best Overall Retail Communication within the small funds category. The MFEA STAR Awards recognizes excellence in investor education, and our weekly free Investor Alert newsletter has been named the best electronic newsletter six times. Today, we received a total of 83 STAR awards. We are also very proud to celebrate the 11th Anniversary of our CEO blog Frank Talk. Our Frank Talk was one of the very first blog distributed by Mutual Fund Company and it has received numerous awards as well from the MFEA over the years. Investors can sign up at usfunds.com and join over 40,000 subscribers who receive the award-winning Investor Alert and Advisor Alert e-newsletters as well as Frank Talk. And now we would like to open it up to questions.
Q - Unidentified Analyst: And just as a reminder, to our audience, you can enter your questions in the control panel on your screen. And we had a few already. Frank is going to direct the first one for you which is, “where do you see the price of gold going as we head into the second half of the year and what will that mean for growth?”
Frank Holmes: The biggest thing is the headwind has been rising interest rates in the U.S. and it looks like it will have one more rate rise. The Europe has not, the UK hasn't. PMI which I showed earlier versus manufacturers indexes has peeked and is rolled over is not crashing ending the slowdown, but I think the fact is pulled over will slow down this rate rise, but the demand for gold will remain robust. I think the GDP per capita of China and India for the Love Trade 6% of all gold demand is love and it's highly correlated to rising GDP per capita income in those two countries were 4% of the world's population. So I remain very bullish and I think that gold can easily test $1,500 this year.
Unidentified Analyst: Another one which you kind of already touched on Frank, but just to revisit it. “Do you think that in pending regulation of the digital currency space? Is that good or a bad thing, especially for company like HIVE?”
Frank Holmes: Well, HIVE gets pulled into the volatility because we validate coins. We don't have any AML risks or KYC issues nor your client rules et cetera, which have really slowed down banking the whole movement of money in capital. And so that's not our biggest issue, but we think that there's been a fraud and there's been some real sloppiness on these new ICOs, millennials don't want to speculate in the stock market because it's too difficult, it takes five minutes to open account on coin based, to ten minutes and it can take you a week up a brokerage account. And they're going to go and trade these currencies and coins very readily, and so speculate of money of $5 billion has gone into creation of 1,000 new coins last year, and still this year even with the regulatory for announcements there's been new coins of say $30 million or $100 million offering that are been successfully raised capital. George Soros has gone into the space. The Goldman Sachs has gone into the space. So I think that the issue is there some regulations for [indiscernible] disclosure of these ICOs that they cannot say there are a currency where they don't pass the tests and it's called the how we test, and it's a very specific test that says, that if you quack like a duck, and you walk like a duck, you are a duck. And you can't say that you're an eagle. And so that's been something that's positive for this overall industry.
Lisa Callicotte: Great. One last question and then we can close things out. Are there any business or product related update from Galileo that you'd like to share?
Frank Holmes: I think that all of us in the mutual fund world are struggling with costs and just tremendous cost to market. The cost of launching a product, a fintech product is substantially less than what we have to and what they can go and say and do. So I see that the proliferation, so I think the regulatory burden from audits or whatever you have is very expensive in Canada for mutual funds as it is here and the marketing costs et cetera is - and communicate with the public is also very, very expensive. And so I think that the growth will be in the ETF in the separate account business, and still exploring with a separate account opportunities because I think that that's where this industry is growing. But Susan, you're on the Board of ICI and there is no real growth in mutual funds.
Susan McGee: No.
Frank Holmes: No. And the growth in ETS is basically three institutions that captured all and something like 50% of all their flows are indexes that are cheapest, but I do think we're going to get a hiccup when you have BlackRock and Vanguard owning 10% of 100 companies in the S&P index and all of a sudden there's big redemptions they have to sell, because we have seen that in a very mini-scale with the GDXJ unraveling and hitting the market. They brought in $5 billion and all of the sudden they owned too much of a company and they had to go and sell quickly $3 billion and they just crushed this time last year, the gold industry. So I think there's only a matter of time before it's going to happen with a big cap stocks and all of a sudden that something happens of that nature. And then separate account is just a much safer way to play. And I think the other thing we have recognized is, I've written about it is the Financial Times of the great story of it. The 70% of the trading today are [indiscernible]. And so one of things we've done for an help our fund performance is called quantamentals, where you using quantitative tools and that those disciplines couple fundamental analysts to look at fundamentals and that that process, a thought process was the backbone to launching jets, which is going to - everything has said we'll do and then GOAU.
Lisa Callicotte: Great. Thank you.
Lisa Callicotte: All right. This concludes the U.S. Global Investors webcast for the third quarter 2018. The presentation will be available on our website at www.usfunds.com. Thank you all for your participation today.